Executives: Michael Hostutler  Charles W. Moorman - Executive Chairman, Chief Executive Officer and Chairman of Executive Committee Donald W. Seale - Chief Marketing Officer and Executive Vice President Mark D. Manion - Chief Operating Officer and Executive Vice President John P. Rathbone - Chief Financial Officer and Executive Vice President of Finance
Analysts: Matthew Troy - Susquehanna Financial Group, LLLP, Research Division Allison M. Landry - Crédit Suisse AG, Research Division William J. Greene - Morgan Stanley, Research Division Christian Wetherbee - Citigroup Inc, Research Division Thomas R. Wadewitz - JP Morgan Chase & Co, Research Division Scott H. Group - Wolfe Research, LLC Justin B. Yagerman - Deutsche Bank AG, Research Division Walter Spracklin - RBC Capital Markets, LLC, Research Division Ken Hoexter - BofA Merrill Lynch, Research Division Brandon R. Oglenski - Barclays Capital, Research Division Justin Long - Stephens Inc., Research Division Thomas Kim - Goldman Sachs Group Inc., Research Division Jason H. Seidl - Cowen Securities LLC, Research Division John G. Larkin - Stifel, Nicolaus & Co., Inc., Research Division Jeffrey Asher Kauffman - The Buckingham Research Group Incorporated David Vernon - Sanford C. Bernstein & Co., LLC., Research Division Keith Schoonmaker - Morningstar Inc., Research Division Patrick Tyler Brown - Raymond James & Associates, Inc., Research Division
Operator: Greetings, and welcome to the Norfolk Southern Third Quarter 2013 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Michael Hostutler, Norfolk Southern Director of Investor Relations. Thank you. Mr. Michael Hostutler, you may begin.
Michael Hostutler : Thanks, Melissa, and good morning, everyone. Before we begin today's call, I would like to mention a few items. First, the slides of the presenters are available on our website at nscorp.com in the Investors section. Additionally, transcripts and MP3 downloads of today's call will be posted on our website for your convenience. Please be advised that any forward-looking statements made during the course of the call represent our best good-faith judgment as to what may occur in the future. Statements that are forward-looking can be identified by the use of words such as believe, expect, anticipate and project. Our actual results may differ materially from those projected and will be subject to a number of risks and uncertainties, some of which may be outside of our control. Please refer to our annual and quarterly reports filed with the SEC for discussions of those risks and uncertainties we view as most important. Additionally, keep in mind that all references to reported results, excluding certain adjustments, that is non-GAAP numbers, have been reconciled on our website in the Investors section. Now, it is my pleasure to introduce Norfolk Southern Chairman and CEO, Wick Moorman.
Charles W. Moorman: Thank you, Michael, and good morning, everyone. It's also my pleasure to welcome you to our third quarter 2013 earnings call. With me today are several members of our senior team, including Jim Squires, our President; Don Seale, our Chief Marketing Officer; Mark Manion, our Chief Operating Officer; John Rathbone, our Chief Financial Officer; and Marta Stewart, who will take over as CFO upon John's retirement on November 1. As per usual, Don, Mark and John will provide commentary in their respective areas, and then will be available for your questions. Norfolk Southern's earnings for the quarter were $1.53 per share, an increase of 23% compared with last year. These strong results were led by growth in our merchandise and Intermodal businesses, combined with ongoing productivity improvements, and despite continuing weakness in the coal market. Looking at our top line, revenues for the quarter were $2.8 billion, an increase of $131 million or 5%. Merchandise and Intermodal revenues rose $153 million and $38 million, respectively, while coal revenues declined by $60 million compared with last year. These results are, obviously, a continuation of the significant changes that we have been experiencing in the markets we serve, and I am proud of how our team continues to respond. Through coordinated efforts between marketing and operations, we have been able to handle the growing merchandise volumes with fewer crew starts, thereby enhancing the strong operating leverage in our merchandise network. We achieved similar efficiencies in our Intermodal and coal networks with reduced crew starts, as Mark will show you. Importantly, all of these efficiencies were achieved while maintaining strong service. In fact, this quarter represents the fifth consecutive quarter in which we have posted a service composite metric at 83% or better. Don will give you all of the revenue details and then Mark will discuss the execution of our operating plan. On the expense side, the continued focus on productivity kept our costs in check. And railway operating expenses rose only 1% on the 4% increase in volume, resulting in an operating ratio of 69.9%. And John will review the financial results in detail with you in a few minutes. Now, at this point, I'll turn the program over to Don and the rest of the team, and then I'll return with some closing remarks before we answer your questions. Don?
Donald W. Seale: Thank you, Wick, and good morning to everyone. During the third quarter, strong merchandise and Intermodal gains more than offset continuing declines in coal revenue to generate $2.8 billion in total revenue, up $131 million, or 5%, compared to third quarter of 2012. Merchandise increased by $153 million, or 11%, and Intermodal had a quarterly revenue record of $605 million, which was up $38 million, or 7%, over last year. Our coal markets continue to be impacted by weaker market conditions, leading to a decline of $60 million in revenue, which was 9% below the third quarter of 2012. With respect to revenue variance for the quarter, total revenue increased by $131 million, primarily driven by 4% higher volume, coupled with increased revenue per unit in the merchandise and Intermodal sectors, which offset negative mix associated with higher intermodal shipments and lower coal volumes. As shown on the next slide, revenue per unit for the quarter was up $12, or 1%, versus third quarter of last year. During the quarter, all of our merchandise commodities achieved yield growth with an average of $109 per unit increase, or 4%, led by Metals & Construction, which was up 9%; followed by Agriculture, which was up 4%; and Automotive, up 3%. Coal revenue per unit declined $129, or 6% year-over-year, due to pricing pressure in the export market and mix changes in our utility network. Now turning to total volume for the quarter, shipments increased by 4% due to gains in Intermodal and merchandise, which offset a 2% decline in coal volume. Intermodal volume was up 5%, driven by strong Domestic market and road-to-rail conversions, while merchandise volume increased in all markets except Agriculture, which declined 3% due to the poor 2012 grain crop. As noted here, our Chemicals volume was up 14%; followed by Metals & Construction traffic, up 9%; Automotive, up 9%; and paper, up 4%. Drilling down to our individual market segments on the next slide, starting with coal. Coal revenue was $641 million, down 9% or $60 million, compared to third quarter 2012. Continued weak demand across the domestic met and industrial sectors, pricing pressure in the export coal sector and negative mix and reduced demand in the utility sector, all contributed to this quarterly decline. Stagnant economic conditions in Europe and excess coal supply in the global market continues to impact the U.S. seaboard market for both thermal and metallurgical coal. And the weaker Australian dollar, now down 11% against the U.S. dollar since January, has driven increased Australian coal production and exports. Despite these headwinds, we continue to partner with our coal producers, which helped us generate a 3% increase in export volume in the quarter. In our utility markets continuing competition from natural gas, excess stockpiles at southern utilities and reduced demand for electricity, which was down 4% in our service region during the quarter, resulted in a 2% reduction in utility coal volume. And both domestic met and industrial coal shipments were off 8% and 5%, respectively, as soft demand and excess inventories impacted both market segments. In our Intermodal business, revenue in the quarter reached an all-time high of $605 million, up $38 million, or 7% over third quarter of 2012, driven by 5% higher volume and a 2% increase in revenue per unit. As depicted on Slide 6, the volume gains in Intermodal came from both our domestic and international markets. Domestic volume was up 7% due to continued highway conversions, while organic growth across our international accounts boosted international volume by 2%. Much of our volume increase occurred over our expanded and enhanced Intermodal corridors. For example, the Heartland Corridor continues to generate double-digit growth, up 19% in the quarter, again reflecting the efficiency and productivity of double-stack service into the Ohio Valley and points beyond. And as you can see on this slide, our Crescent, Pan Am Southern and Meridian Speedway lanes continue to generate solid growth as well. Concluding our review of third quarter growth drivers with our merchandise results, our merchandise services generated quarterly revenue of $1.6 billion, up 11%, with broad gains across all market groups with the exception of Agriculture, which was impacted by lower corn and soybean shipments. In our Metals & Construction business, which was up 9%, higher volume was driven by increases in new aggregates business and new terminals for sand and gravel, as well as miscellaneous construction materials. Crude oil continue to drive our growth in the Chemical sector during the quarter with an 11,000-car increase over third quarter 2012, but was down 2,000 carloads, sequentially, due primarily to maintenance at a major refinery. Increased shipments of natural gas liquids, plastics and industrial intermediates also boosted growth in this group. Our Automotive volumes were up 9%, almost double the projected North American vehicle production for the quarter, as a result of new business and increased production at NS-served plants. And the rebound in the housing and consumer products markets helped us increase both lumber and pulpboard volumes by 7%, which partially offset a 13% decline in graphic paper. Now concluding with our outlook, we see ongoing growth opportunity in Intermodal and merchandise, while the coal market continues to face pricing mix and global oversupply challenges. In this regard, thermal coal in Europe continues to be challenged, as the API 2 index continues to hover in the low $80 per ton range. This is a price point at which U.S. producers are generally at a clear cost disadvantage. With respect to domestic met and met coal exports, both face excess supply challenges. And in the export sector, the weaker Australian dollar and the possible repeal of the Australian carbon tax could place added pressure on U.S. suppliers. Finally, sluggish electricity demand and excess stockpiles in the South, coupled with pressure from natural gas, will challenge volumes into our utility plants. On the upside, our outlook for Intermodal remains bright, as we complete new facilities and launch new services, such as the South Carolina Inland Port project at Greer, South Carolina, which will convert highway shipments from the port of Charleston to Greer for BMW and other customers. This new service begins this quarter and represents our latest road-to-rail conversion initiative. Highway conversion and international growth both represent continued opportunity ahead for our Intermodal network. And we will remain laser-focused on delivering superior Intermodal service, more productively and more efficiently, across our double-stack network. Wrapping up with our merchandise markets, we continue to see growth ahead in crude by rail, as well as plastics and shale-related liquid petroleum gases. And frac sand shipments, into the shale production region, should increase as hydraulic fracturing technology evolves and requires higher volumes of sand. In our Metals markets, domestic steel production is projected to expand by 4% during 2014. Automotive production will also continue to see solid growth as North American vehicle production is projected to increase 6% in the fourth quarter and 3% next year. In Agriculture, the larger corn crop this year will change sourcing from the drought-driven patterns, where corn was being sourced in Iowa and Nebraska moving to our Midwest processors. Reverting back to traditional patterns of shorter-haul shuttle trains from online elevators located in Illinois, Indiana and Ohio. We also expect more export grain shipments as a result of this robust harvest. And lastly, our Paper and Lumber market should continue to rise with the housing market, offsetting weaknesses in graphic and printing paper. Now, I'll summarize. We expect our merchandise and Intermodal markets to generate overall volume and revenue growth ahead despite continuing headwinds in the coal sector. With respect to yield management, we remain committed to providing strong service to our customers that supports our ability to price to the market at levels that equal or exceed the rate of rail inflation. However, the negative mix effect of lower coal volumes and higher intermodal shipments will continue to be seen in overall revenue per unit trends. Thanks for your attention, and I'll now turn it over to Mark for our operations report. Mark?
Mark D. Manion: Thank you, Don. Starting with safety. For the first 9 months of the year, our personal injury performance stands at 1.08. While we've seen an increase in our safety ratio, we're confident we're doing the right things to reduce injuries in our workplace. Our workforce is more engaged than ever before in safety. This is a direct result of our continuing implementation of behavior-based safety training and processes. Our operations management team has concluded their training, and our 24,000-person workforce will conclude training by year end. While implementing behavior-based safety training, we do closely monitor our serious injuries, and they have not increased year-over-year. Looking at our train incidents, you see a pretty good trend with a slight uptick this year in incidents related to switching and storm-related occurrences. Train incidents after 9 months is at 2.3 per million train miles. Crossing accidents for the first 9 months is down slightly from the prior year at 3.5 per million train miles. Moving on to service performance. Our composite service metric remains at a very high level and continues to show year-over-year improvement. For the third quarter, composite performance stands at 83.6%. Consistent with recent performance, the gain was led by improvements in train performance. Consistently high service performance drives network velocity and improves the efficiency of our operation, primarily through improved asset and resource utilization. Turning to the next slide. Train speed, a primary component of network velocity, continues at high levels, consistent with the performance we've seen for a number of consecutive quarters. And moving on to Terminal Dwell, the other major component of network velocity, we continue to see quarter-over-quarter improvements. In the third quarter, average Terminal Dwell was 21.2 hours, a modest improvement over the third quarter last year. Moving to the next slide. We've provided a comparison of changes in volume by business type and the corresponding change in crew starts. As this shows, we're seeing consistent improvements in operating efficiencies across all business areas. In general merchandise, we saw a 6% increase in volume, with a 2% reduction in crew starts. While volumes in Intermodal increased 5% for the quarter, we managed a 2% reduction in crew starts. This was due in part to a 4 percentage point improvement over 2012 to reach 95% of all containers moving in double-stack service. The improvement in loading efficiency allows trains to carry a higher volume with reduced crew starts. Similarly, coal volume was down 2%; the crew starts were reduced 8%. Overall volumes grew 4%, while total crew starts were reduced 3%. As you can see on the next slide, these improvements are not limited to crew starts. Higher network velocity, along with other productivity initiatives, continue to drive operating improvements in a number of areas. Against the volume increase of 4% in the third quarter and concurrent with the crew start reductions that you saw in the previous slide, we also reduced T&E overtime hours by 11%, and saw a re-crew reduction of 12% over the same period last year. Velocity-driven equipment rents were essentially flat, increasing less than 1%, with high velocity levels now sustained for 7 quarters. And taking advantage of existing train capacity, carloads per locomotive have improved 7%. We continue to make improvements in fuel efficiency, with gross ton-miles per gallon improving 2% over the same period last year. Taking these trends back even further, on the next slide, you can see that these are sustained improving trends in operating efficiency. The 2 graphs across the top show the longer-term declining trends in crew starts and re-crews against an increasing volume trend, down 6% and 51%, respectively, from their peak in the first quarter of 2011. On the bottom left, the reduction in T&E overtime hours, down 40% from the peak in the first quarter of 2011. And on the bottom right, the increase in units per locomotive, up 17% since first quarter 2011. These and other productivity improvements have come about through improved network velocity, technology applications, strategic investments in infrastructure, better use of existing train capacity through improved network planning and a number of individual projects implemented by employee teams across our network. We expect to see ongoing benefits, and are on target to exceed our $100 million in productivity gains this year alone. And these and other initiatives will continue to drive further productivity gains as we move into next year. Thank you. And now, I'll turn it over to you, John.
John P. Rathbone: Thank you, Mark. I'll now review our financial results for the third quarter. Starting with our operating results, as Tom described, revenues for the quarter totaled $2.8 billion, up $131 million, or 5%, as merchandise gains and Intermodal volume growth outpaced coal declines. For the quarter, railway operating expenses increased $13 million, or 1%, a rate well below our 4% growth in volume. Income from railway operations totaled $849 million, up $118 million, or 16%. And our operating ratio improved 300 basis points to 69.9%. Turning to our expenses, the next slide shows the major components of the $13 million increase. Now let's take a closer look at each of these changes by expense category. Purchased services and rents increased $17 million, or 4%, largely reflecting increased volume-related activities. These increases were partially offset by lower roadway repair cost. Fuel expenses increased $11 million, due largely to slightly higher diesel fuel consumption. Turning to compensation and benefits expenses. Performance-based compensation and pay rate headwinds were partly offset by productivity improvements and lower payroll taxes. Recall, our compensation is performance-based. Last year included a favorable variance of $19 million for incentive and stock-based compensation. Materials and others decreased $26 million, or 12%, driven by favorable personal injury claims development and reduced materials and supplies, and was partially offset by higher environmental expenses. Third quarter's personal injury costs were $18 million favorable compared to last year. As I mentioned last quarter, our casualty and other expenses could face moderate headwinds in the fourth quarter, as last year's results included a $17 million reduction in personal injury-related expenses. Turning to our nonoperating items. Other income is down $3 million, or 9%, due largely to lower coal royalties driven by lower coal production. Interest expense on debt was up $7 million, primarily due to new debt issuances, including $500 million issued in August of this year and $600 million issued last year in September. Income before income taxes increased $108 million, or 17%, primarily due to higher operating income. Income taxes totaled $266 million. And the effective tax rate was 35.6%, compared to 37.2% in 2012. The decrease was largely related to an $8 million benefit from state tax law changes enacted in the third quarter of 2013, as well as tax credits from legislation enacted at the beginning of this year. We expect our effective tax rate for the full year to approximate 36%. Net income from the quarter was $482 million, an increase of $80 million, or 20%, compared to 2012. Diluted earnings per share were $1.53, up $0.29 per share or 23% compared to last year. Overall, a very solid quarter. As shown on the next slide, cash from operation covered capital spending and produced $934 million in free cash flow. In the first 9 months of 2013, we distributed $476 million in dividends and repurchased $564 million in shares, $250 million of that activity was in the third quarter. In total, we have repurchased 7.5 million shares this year, approximately $3.3 million in the third quarter. Share repurchases and proceeds from borrowings were both lower compared to the same period last year. Our balance sheet is strong and we remain -- paying full confidence in our ability to generate liquidity through free cash flow and access the debt markets. Thank you for your attention. I'll now turn the program back to Wick.
Charles W. Moorman: Thank you, John. Well, as you've heard, we had a very good third quarter in terms of operating performance and bottom-line results. As I've said at the outset, we, along with the rest of the industry, are in a period of significant transition with respect to our market as our traditional coal business continues to be challenged; while merchandise, including new energy-related businesses, and Intermodal continues to expand. To underscore the magnitude of that transition, if you look at our results this quarter, as compared to the third quarter of 2011, 2 years ago, our coal revenues are down almost $260 million, and yet our total revenues are down only some $65 million. To make up for the loss of so much revenue and operating income in what is one of our most profitable business segments, we have remained intent on a strategy of growing volume and pricing in our other markets, coupled with driving productivity and velocity in our operations. While the changes in our markets are far from complete, our 2013 third quarter results, including our operating ratio, are a clear indication that we are on the right strategic path, and we will continue to focus on execution of all aspects of our plan. The keys to our success remain the people of Norfolk Southern, they're the best in the business, and I'm confident in their ability to continue to drive even better results for our customers and our shareholders. And speaking of people, let me close by both personally and on behalf of all of the Norfolk Southern team, thanking John Rathbone for all of his years of service to our company. John has served 32 years with NS and he has been a terrific employee and corporate officer, as well as a great friend to all of us. John, thanks. And on behalf of all of us, will you please just stop smiling so much. And with that, I'll turn it back over to the operator to field your questions.
Operator: [Operator Instructions] Our first question comes from the line of Matt Troy with Susquehanna International.
Matthew Troy - Susquehanna Financial Group, LLLP, Research Division: I had a question on pricing specifically. We watched the rails narrative on pricing go from market-based to inflation plus to now, you've said, equal or exceed rail inflation. I'm just curious, in what instances do you decide that equaling rail inflation is an okay hurdle or bogey to set? I'm just trying to understand the criteria. Is it business where the margins are at acceptable level to go forward? Or how do you just make that decision as you're parsing new business bids and deciding what is rail inflation plus versus what is rail inflation equal?
Donald W. Seale: Good morning, Matt, this is Don. First up, I'd emphasize that we have reiterated in past calls that our own going goal is to equal or exceed rail inflation. And also, we have not veered off of our strategy of pricing to the market. That is what drives our pricing, it is market-based. But with that said, we look at rail inflation ahead. And for -- next year, for example, the RCAF unadjusted is likely to come in slightly higher than 1%, and the all-inclusive less fuel is likely to come in around 2%, and our pricing targets are above both of those.
Matthew Troy - Susquehanna Financial Group, LLLP, Research Division: Got it. So no change, essentially, is what I'm hearing. I guess the second question or follow-up would be related to pricing. It's certainly been chatter, some real, some manufactured, in the market about intermodal pricing behavior. Just wanted you, again, to reiterate or frame your views there, that you continue to price that business for acceptable margin level. But essentially, what are the hurdles or the metrics when you're pricing new Intermodal business on an organic basis, versus highway and versus maybe competitive wins? What do you need to see or what is the discipline you have that we know that the margins in that business, x operational improvement, should hold the line or get better over time?
Donald W. Seale: In fact intermodal continues to be a competitive market, and we're competing with the highway predominantly. We were pleased with the 2% improvement in revenue per unit we saw in Intermodal in this quarter. We will continue to price in a marketplace where we can be competitive, generate a sufficient margin for reinvestment in our assets and our network, and continue to provide the type of service that our customers expect.
Operator: Our next question comes from the line of Allison Landry with Crédit Suisse.
Allison M. Landry - Crédit Suisse AG, Research Division: I wanted to ask about fuel during the quarter and if there was any lag impact benefit or negative?
John P. Rathbone: The net -- there was a $41 million negative lag impact for the quarter. That compares with last year's quarter of $21 million lag impact.
Allison M. Landry - Crédit Suisse AG, Research Division: Okay, so it's a year-over-year negative of about $20 million?
John P. Rathbone: Right. Correct.
Allison M. Landry - Crédit Suisse AG, Research Division: And then just following up on the casualty line, it looked a little bit low relative to what we were modeling. What's a good run rate to use for that category going forward?
John P. Rathbone: I would say what you should model in on that -- and because of that, that line does have some variability associated with our actuarial studies, and it's one that's difficult to get a -- because of all the safety improvements that we've had, we have a lot of benefits associated with that. I'd say, if you look at about $35 million run rate on that, plus or minus, that should give you a good handle on that.
Operator: Our next question comes from the line of Bill Greene with Morgan Stanley.
William J. Greene - Morgan Stanley, Research Division: Don, I think in the past, maybe on the last call, you talked a little bit about coal RPU slowing sequentially, so I guess a sequential decline. But it actually went up. Can you tell us, was there anything with liquidated damages or anything in there that made that unusual? Or was it just all mix?
Donald W. Seale: Bill, it was mix related. We had no material or liquidated damages amounts in the quarter. It's a reflection of increased export shipments over the Port of Norfolk. We had a decline in export shipments over the Port of Baltimore. We had increased shipments of northern utility coal and decreases in the south. So that's, in a nutshell, the mix effects.
William J. Greene - Morgan Stanley, Research Division: Okay. And then the follow-up is just on the seasonality. So a lot of mix changes going on in the business as you guys have mentioned, how do we think about how that should affect how margins change sort of quarter-over-quarter? Is the fact that coal is now a smaller piece of the business, and Intermodal bigger, should that mean bigger seasonal swings between things like fourth quarter and third quarter on margins? How do we think about how that should affect the margins?
Donald W. Seale: Bill, I don't see that as being a seasonal or cyclical impact. What we are seeing is that coal in the quarter was 18% of our shipments and about 23% of our revenue. We're seeing our participation in other energy activities, obviously, continue to ramp up. And we see that as a sustainable source of volume and revenue ahead. So I think instead of cyclicality or seasonality, we're just seeing some substitution and replacement of commodities that were transported.
William J. Greene - Morgan Stanley, Research Division: So the mix, on a margin basis, isn't really that different, given what you've been able to do on the cost?
Donald W. Seale: It is comparable. I will tell you that it's not quite as good as coal was, but it is very attractive business for us.
Operator: Our next question comes from the line of Chris Wetherbee with Citi.
Christian Wetherbee - Citigroup Inc, Research Division: Maybe a question, Mark, on the cost initiative side. You said that you're kind of trending ahead of the $100 million target that you'd had for the year. I just want to get a sense, when you take a step back and think about maybe the longer-term perspective, as you go through the initiatives, it appear that you have sort of equal opportunities as you move into 2014 i.e. are you going to be able to get sort of the same type of magnitude of changes and improvement in productivity as you move forward here? Or are there any limiting factors from mix or otherwise?
Mark D. Manion: Chris, we are looking for the same trend in productivity improvement, and it just comes from the fact that we have got a pipeline of -- a multitude of productivity projects that are lined up. Think about things like LEADER, that is less than halfway rolled out, we'll be working on that through all of 2014. Movement Planner falls into the same camp. And then on top of that, we've got yard initiative projects, we've got local operating plant projects, these are things that we'll be working on the rest of this year and next year.
Christian Wetherbee - Citigroup Inc, Research Division: Okay. And just a follow-up on the headcount -- and I apologize if you missed it, could you give us a rough sense of how you expect headcount to trend over the next quarter or 2?
Mark D. Manion: Well, we have been methodically reducing our headcount. And as you see, year-over-year, just on the operations side, we've reduced about 4% in the last 12 months, 4.1% to be exact. And as we go into 2014, we're going to continue to make reductions. And again, it will be incremental, but we're looking at a reduction of at least several hundred people through attrition throughout the course of next year.
Operator: Our next question comes of the line of Tom Wadewitz with JPMorgan.
Thomas R. Wadewitz - JP Morgan Chase & Co, Research Division: Yes, I guess, I think a follow-up for you, Mark, and I've got to say, it's impressive performance on the reduction in crew starts with the volume growth. How do you think about the constraints on that? I know you touched on this a little bit with headcount next year. But if volumes are up another 4% next year, can you reduce crew starts another couple of percent? That's a pretty wide and impressive gap. Or do you start to hit some train length considerations or other factors?
Mark D. Manion: Well, if volumes are up, that will be great. We'll operate as many crews as we have to in order to handle the volume, obviously. But with the type of projects we have going on, we will continue to see improvement in -- some improvement even in velocity, we think. Just do the projects, such as what's going on in our yards, where we're doing better and better jobs getting trains out on time, not having the delays and the re-crews that would otherwise take place. We've got our Bellevue project that is going to be coming into its own. That builds in efficiency. So we're continually taking time out of schedules that has an effect of more efficiencies. So when you put all that together, we think we will continue to be favorable on the crew start size -- side. But again, it has everything to do with volume, and we'll take as much volume as we can get.
Thomas R. Wadewitz - JP Morgan Chase & Co, Research Division: Okay, great. I appreciate that. And then a question on coal. What -- I don't think that you specified it. Maybe I missed it, but how big was the impact from liquidated damages in third quarter, absolute level of damages and the year-over-year? And is that something that kind of goes away fourth quarter or next year? Or does that persist?
Donald W. Seale: Tom, but we -- as we stated previously, there was no material liquidated damages accrual in the third quarter.
Thomas R. Wadewitz - JP Morgan Chase & Co, Research Division: Okay. Nothing this year, nothing meaningful last year?
Donald W. Seale: No.
Operator: Our next question comes from the line of Scott Group with Wolfe Research.
Scott H. Group - Wolfe Research, LLC: Don, you talked in one of your earlier questions about how you think pricing is going to be above that kind of the imminent inflation numbers that you see out there. But you also talked earlier about negative mix with coal and merchandise and Intermodal. When you factor in mix, do you think that your overall yield should stay above that inflation number you talked about in that 1% range?
Donald W. Seale: We believe we're trending in that direction, and we also believe that coal is most likely at the trough in terms of where we will see it stabilize. And hopefully, we'll start to see it improve.
Scott H. Group - Wolfe Research, LLC: And are you talking about from a pricing perspective or a total revenue perspective when you say coal at the trough?
Donald W. Seale: The total revenue perspective and a revenue per unit perspective.
Scott H. Group - Wolfe Research, LLC: Okay, great. And just second question on the Crescent Corridor, so I'm just wondering, what percent you -- when you first laid that out for us, there were some pretty big opportunities to take share. What percent of that corridor do you think you've utilized so far? And you have any views on kind of how much additional you're planning for in terms of growth next year?
Donald W. Seale: We're in the first inning of our growth plans for the Crescent Corridor, and we identified well over 1 million loads in the initial approach for Crescent. And we're on track, but we're in the first inning of that.
Scott H. Group - Wolfe Research, LLC: Why do you think we're only seeing single-digit growth on that corridor if it's kind of brand new?
Donald W. Seale: We are being judicious with respect to the business that we're seeking and gaining. We've made investments in that corridor, and our objective is to generate sufficient returns on those investments.
Operator: Our next question comes from the line of Justin Yagerman with Deutsche Bank.
Justin B. Yagerman - Deutsche Bank AG, Research Division: Wanted to dig in a little bit on the outlook for coal here and get a sense -- your competitors moved a decent chunk of business or will have by the end of this year to fixed variable when they look at their coal business. And wanted to get your thoughts on how you think about that. And then when you look ahead to 2014, how much of your utility business is going to be repricing where you'd have an opportunity to relook at guaranteed minimums and pricing?
Donald W. Seale: With respect to the first part of the question, fixed and variable, we continue to have dialogue with our major utility customers regarding the concept. But I will tell you that we do not have any of that type of formula in place today. And also, we're finding our utilities to be interested but not overwhelmingly interested in the concept. So we're having dialogue, but I will tell you that we do not have any of that price structure in place as of now. The second part of the question, we have to have -- we have about 5% of our current utility book that we're still having some discussions and negotiations with. That will be concluded by the end of the fourth quarter, and we will give you a report out on the results of that in the January call.
Justin B. Yagerman - Deutsche Bank AG, Research Division: Okay. And then looking out to 2014, what was that?
Donald W. Seale: 2014, that includes that 5% that we're negotiating on now, and we have no material utility contracts that are up for renewal next year. We will have escalators in the contracts apply as we have for the contractual terms.
Justin B. Yagerman - Deutsche Bank AG, Research Division: Okay, great. Just a point of clarification on the coal, I think you said that when you looked at mix at Northern utilities, we're seeing stronger improvement versus Southern, which jives of what -- I would've thought, but maybe not in terms of how that played out in RPU. Is that a positive mix for you guys? Or is that a negative mix, Northern...
Donald W. Seale: That's a negative mix. As we've talked in the past, our Northern utility business stockpiles are at target. Southern utility stockpiles are in excess of target, and our Southern utility coal is about 50% greater RPU than our Northern utility coal. And in this most recent quarter, I will tell you that the split of Utility North to Utility South, which generally runs 50-50, was 54% North and 46% South. So we had a negative mix effect within that utility market.
Justin B. Yagerman - Deutsche Bank AG, Research Division: Okay. So the sequential RPU and a favorable mix that would've driven that, in response to an earlier question, was pretty much solid[ph] than the export side? Or was there something else? Because you guys...
Donald W. Seale: That is correct. The favorable Lamberts Point export traffic, which was up, and Baltimore traffic shorter-haul export down, we had a positive mix effect on export business, which was up 3% in total.
Justin B. Yagerman - Deutsche Bank AG, Research Division: All right. That's very helpful on a clarification basis. The last question, and I'll turn it over, on the Intermodal side, just piggy-backing on what Scott was asking about before, we saw a decent volume numbers compared to past quarters out of your competitors. Are things more competitive on the domestic Intermodal side in the east than we've seen in a while as they've gotten up to a 90% on the double stack and maybe starting to challenge you guys where you've been more dominant in many of these lanes?
Donald W. Seale: We see no real change. We're focused on the highway. That's where the freight is moving. And the highway, the motor carriers are facing hours of service changes, continuing changes with respect to driver availability. So we still see the overall value proposition for Intermodal and the competitive situation essentially the same.
Operator: And our next question comes from the line of Walter Spracklin with RBC Capital Markets.
Walter Spracklin - RBC Capital Markets, LLC, Research Division: My question is kind of a follow-up on the Intermodal pricing. I believe it was you, Wick, or perhaps Don that mentioned you were trending negative 1% in Q2 and then switched to positive 2% into Q3. And just throwing it back to you, there was the view that perhaps you had been using price as a mechanism to fill some of your lanes on the backdrop of a weaker economic environment, and what have you, or to drive truck volume over into -- onto your rail network. Is the shift in -- from negative 1 to plus 2 a change in pricing philosophy? Or -- and was that an accurate assessment back in Q2, and that's changed now? Or was there something else at play that we should be considering?
Donald W. Seale: I wouldn't read too much into sequential quarter-to-quarter revenue per unit changes. We don't price a large portion of our Intermodal business on 90-day increments. We price it in longer-term increments than that. So fuel changes, mixed changes, lane changes, all of that are predominant quarter-to-quarter, but yield is not going to change in a major way quarter-to-quarter.
Walter Spracklin - RBC Capital Markets, LLC, Research Division: Okay. And just to confirm here, John, did I hear you say there was an $8 million onetime tax benefit in the quarter, in third quarter 2013?
John P. Rathbone: Yes, and that's related to North Carolina reduced our tax from 6.9% to 6% to 5% over a 2-year period. And that's the reduction related to deferred taxes on the recognition in the balance sheet of those deferred tax benefits that we picked up.
Walter Spracklin - RBC Capital Markets, LLC, Research Division: Okay. And, Don, could you -- I don't know if you mentioned the split between met and utility on your export side in the quarter roughly.
Donald W. Seale: It was 79% met, 21% thermal.
Operator: Our next question comes from the line of Ken Hoexter with Bank of America.
Ken Hoexter - BofA Merrill Lynch, Research Division: Great. Can you just jump into that mix shift a little bit, and was there anything that caused that shift over to Lamberts? And on the same vein, any thoughts on the export market into 2014?
Donald W. Seale: Our Lamberts Point port of Norfolk coal was strong in terms of the quarter for export, predominantly based on metallurgical coal plowing to Dyna. As you probably recall, we had a couple of press releases in the quarter. We loaded one vessel with 168,000 metric tons of export metallurgical coal destined to China, which was the largest coal cargo ship loaded in the Northern Hemisphere. So we saw met coal out of Central App continuing to be in demand in China during the quarter.
Unknown Executive: Fourth quarter mix.
Donald W. Seale: What was the second part of the question?
Ken Hoexter - BofA Merrill Lynch, Research Division: Oh, It's just your thoughts on the export market into '14. I guess now you've seen this, it's got 79%...
Donald W. Seale: Well, it's a mixed bag. It's very murky. The thermal coal, as I've mentioned, is subject to world forces. With the API 2 in the Europe, that's too low versus the cost structure for U.S. producers. On the met coal, we see continuing opportunity, but we don't see a robust market. The Australian currency that I mentioned in my prepared remarks continues to make Australian coal more competitive. And should the new Prime Minister and government in Australia remove the carbon tax, Australian exports will become even more competitive. So we have an outlook on coal that's less than encouraging.
Ken Hoexter - BofA Merrill Lynch, Research Division: Great. And if I can get my follow-up on Intermodal, Wick or Don, I guess it was an impressive answer before on the yield side and Intermodal. And kind of you're restrained. You're showing on the new lanes that you're opening in order to get that return that you want on your investment. So what -- when do you unleash that if that's just J. B. Hunt going in or your large customers going in and selling that? Or are you doing something to more actively market those lanes to convert that highway traffic? Just so we can understand the growth dynamics on those opening up.
Donald W. Seale: We're working with all of our Intermodal partners as well as directly having dialogue with beneficial cargo owners as we normally do. So what we're -- we have a high service value in that quarter, and it has great demand and great promise and potential. And what we're doing is just being prudent in the way we launch it and ramp it up.
Operator: Our next question comes from the line of Brandon Oglenski with Barclays.
Brandon R. Oglenski - Barclays Capital, Research Division: If I could follow up from Ken's question there on the new lanes for Intermodal and along the lines of the efficiency gains, maybe this one's for Mark. But are you running at ideal densities right now in those new Intermodal segments? And is that some of the upside on the efficiency story for 2014?
Mark D. Manion: We got plenty of room to grow, if that's the question in those Intermodal segments, all of them.
Brandon R. Oglenski - Barclays Capital, Research Division: Well -- when you first start up those lanes, are you getting ideal densities overnight? Or is this something that builds up and the profitability builds up as you get market share?
Mark D. Manion: This is something that continues to ramp over time, and there's really 2 pieces to it. One is filling up the train size, and then as it necessitates, we'll add actual trains to those corridors.
Brandon R. Oglenski - Barclays Capital, Research Division: And from a capacity perspective right now, where would you put available capacity in your network on the Intermodal?
Mark D. Manion: A lot. I don't have a percentage for you, but we've got a lot of room to grow. And you've got to think in terms of the fact that over the last -- really, I guess we're going on almost 10 years now where we have every year methodically, surgically been adding infrastructure improvement to what in the past was chokepoints or potential chokepoints. So we're staying ahead of that, and so between our pretty robust infrastructure to start with as well as improvements throughout the years, there's a lot of room out there.
Brandon R. Oglenski - Barclays Capital, Research Division: All right. And, John, real quick on grain, how is the shifting of sourcing of corn and grain in your area going to impact point of haul in yields?
John P. Rathbone: That's a good question. I'm glad you asked it. As I pointed out, the drought of this past year forced us to source a lot of grain in Nebraska and Iowa coming over Chicago, coming to our processors in the Midwest and even some going into the Southeast. That will revert to more traditional origins with this new robust crop where we will source a lot of that corn and -- the corn for processing in Illinois, Indiana and Ohio, which will result in a shorter-haul lower RPU going in to points like Decatur, Illinois, for example, or Lafayette, Indiana. So still good business, just going back to the patterns that are normal.
Operator: Our next question comes from the line of Justin Long with Stephens.
Justin Long - Stephens Inc., Research Division: On CapEx, I was wondering if you had any early read on what we could expect in 2014. And also, if you could provide any breakdown in terms of the need for infrastructure, equipment, PTC, et cetera, that would be helpful as well.
Donald W. Seale: Well, we haven't taken a capital budget to our board yet, so we haven't announced any kinds of numbers. The capital budget, I think we have talked before, will be roughly order of magnitude of where we are today. We clearly have a big PTC nut out there in front of us, and then we have our typical ongoing needs. We've talked in the past about we are slowly replacing our coal car fleet, which is becoming license-expired [ph] over a period of about 10 years. So we'll see projects like that. But we don't have a good number for you yet, and we'll obviously be talking a lot about that in January when we talk with you again.
Justin Long - Stephens Inc., Research Division: Okay. And maybe for my second question, there's clearly been a lot of uncertainty about the direction in the U.S. export coal market recently, and I realize it will be volatile with weather, exchange rates, et cetera. But longer term, just based on what you're hearing from your customers, do you have a best guess on a normalized range for the U.S. export market? Do you think it's an 80 million, 90 million, 100 million ton market on an annual basis?
John P. Rathbone: You know, we wish we did. We really just don't have a crystal ball that's good enough right now to predict what's coming down the path. We have a lot of confidence over the long term in the strength of our export metallurgical coal franchise. We serve a lot of high-quality metallurgical coal producers, and that coal -- that's coal over the long term that we think will always be in demand. I think -- but in terms of some kind of ratable number for years, we just don't know, and we certainly don't have very good insight into the long-term prospects for U.S. export thermal coals. We and a lot of people would hope that that's a very bullish proposition, but we just don't know yet.
Operator: Our next question comes on the line of Thomas Kim with Goldman Sachs.
Thomas Kim - Goldman Sachs Group Inc., Research Division: With regard to Intermodal, can you just give us an idea where you think a more normalized growth rate might be for the Heartland Corridor? And then also, what will be an update on the year-end outlook for the Meridian Speedway and, again, the longer-term opportunity in that particular quarter?
Donald W. Seale: Well, the Heartland Corridor continues to be robust. We don't expect quarter-to-quarter to quarter-to-quarter increases of 19%. That would a compounding phenomenon. But I guess it's going to continue to be a robust growth corridor for us. We have a suite of services to and from the Port of Virginia that is in great demand around the world, with double-stack service to Columbus, Detroit, back to Chicago. So that corridor will continue to grow. I don't think we'll project that type of growth that we're seeing in the third quarter, but it will be substantial. The other corridors will continue to grow, again, as we compete in the highway -- with highway carriers and partner with our Intermodal partners and beneficial cargo receivers, to the extent that the prices that we put in and the volumes we gain are attractive and generate appropriate returns.
Thomas Kim - Goldman Sachs Group Inc., Research Division: With regard to the Meridian Speedway and more specifically, I mean, do you see potential for this somewhat relative underperformance to change? And what maybe strategically you're being sort of focused on to accelerate the growth?
Donald W. Seale: I would remind you that the Meridian Speedway is focused more on a developing suite of services to and from Mexico. The Transcon business associated with Meridian Speedway, too, is a more mature intermodal market. We're seeing a much higher growth rate on local eastern intermodal as opposed to the more mature transcontinental intermodal market. And Mexico has great potential, but it's just beginning to ramp up, tying into our new Birmingham hub that we finished at McCalla, Alabama near Birmingham.
Thomas Kim - Goldman Sachs Group Inc., Research Division: Okay. And if I can just squeeze in one last question with regard to your general preference between international versus domestic intermodal, is there one or a point end like a -- the difference in pricing? And then if you had a choice between international versus domestic, would you prefer one over the other?
Donald W. Seale: We prefer both. The revenue per unit on the international, because it's a private container, marine container, is lower revenue per unit, but it's attractive business. And since we're supplying a lot of the domestic boxes for the domestic intermodal world, it generates a higher revenue per unit. But both are attractive sectors for us.
Operator: Our next question comes from the line of Jason Seidl with Cowen.
Jason H. Seidl - Cowen Securities LLC, Research Division: John, good luck in retirement, sir. If I could go back to the question in terms of yields expected for 4Q, on the ag side, you said it should revert more back to normal. Are you talking sort of back to that $2,100-a-carload level that we've seen in the past? Or am I going a little bit too low for the conversion to more shuttle trends?
Donald W. Seale: Well, I don't want to guide you on the revenue per unit per se, but there will be some other moving parts that will impact the changes to normal patterns for domestic grain. As I mentioned in the comments, we see export grain ramping up because of the large crop this year. And as you know, the export market last year was nonexistent because of the lack of grain supplies. So generally, our export trains will generate a higher RPU that will be blended in to mute some of the return to normalized patterns on the domestic grain. So we'll just have to see how that comes together because if we run more export trains than we have planned, which we could, that would have an impact on any number that I would give you.
Jason H. Seidl - Cowen Securities LLC, Research Division: Okay. What percent is export versus the shuttle, of the business?
Donald W. Seale: Well, last year, we had very little export grain at all. This year, we will have a fairly substantial export program. I can't give you the percentage of the total.
Jason H. Seidl - Cowen Securities LLC, Research Division: Because you're predicting the export market, but I understand that. If I could jump for my follow-up question, in terms of the personal injury rates, obviously, it cropped up a little bit, and there's a negative comparison in 4Q that you mentioned. When is the next actuarial study on the personal injury rate?
Donald W. Seale: We have -- we do this quarterly. And so each quarter, we evaluate those personal injuries. And as Mark said, when we look at the creep of the injury rate going up slightly, but as Mark mentioned in his comments, the severity has not crept up. The serious injuries have not changed, so that gives us comfort, but -- about our accruals.
Operator: Our next question comes from the line of John Larkin with Stifel.
John G. Larkin - Stifel, Nicolaus & Co., Inc., Research Division: I had a question about the stockpiles in the southeast of the utilities, which have been above normal for a number of years now. Would've thought that by now, they would be getting close to normal. What is it that's preventing them from moving in that direction? Is it fear of liquidated damages? And when do you think that we might expect that they would be brought down to normal levels, so that your movements into that area would be more of what you would expect to see over the long term?
Donald W. Seale: The southern utility stockpiles are being impacted by 2 broad factors. First, natural gas competition. Even with natural gas prices increasing on a moderate -- from a moderate perspective to about $3.60 per million BTU, natural gas is still competing in the South at a higher rate than it is in the North, in our view. Second is electricity demand just hasn't recovered from the recession. It's down 4% in our service territory. So you put those 2 things together, and then also, the summer weather was just not as warm as it was forecasted to be. It was a cooler summer. So those 3 factors combined, we saw the utility stockpiles at utilities we serve in the South tick up by about a day coming off the second quarter into the third quarter.
John G. Larkin - Stifel, Nicolaus & Co., Inc., Research Division: Okay, that's very helpful. And then maybe as the follow-on, over in March operating area, great improvements have been made there with respect to more productive train starts. I gather from some of the data that your train speed is reaching sort of steady state and Terminal Dwell maybe reaching steady state. Is there much room for improvement there? If not, is all of the productivity really going to come from increased train length going forward?
Donald W. Seale: We think there is continued improvement yet, and it has to do with -- we've got a number of productivity projects out there. But projects, such as things that depart our trains, out of terminals on time, keep them from having to be re-crewed, taking time out of our schedules, just various things that increase the overall efficiency of the train, the train network. We think that will have an impact on our overall velocity. So we think there is still some upside in the velocity. And still some improvement yet to be had in our dwell in terminal. Because you got -- you have to remember, even though right now, we've got our dwell down at really what our operating plan is -- as our operating plan is something that we change, we tweak as we go forward. And as we reduce our -- the -- as we tighten up our train schedules, we change our train plan, we change our operating plan, and that has an effect of reducing the overall dwell that's taking place in terminal. So we still see upside in it.
Operator: Our next question comes from the line of Jeffrey Kauffman with Buckingham Research.
Jeffrey Asher Kauffman - The Buckingham Research Group Incorporated: I just wanted to follow up a little on Allison's question earlier. We were talking about some of the changes to materials and others line. I think you mentioned the casualties, $23 million, probably $35 million, some more sustainable level. Can you talk about the other elements that drove that down about $26 million year-to-year? How sustainable are those?
John P. Rathbone: Most of that came from the reduction, as we said, reduction in favorable personal injury claim reserves, offset by the -- our environmental expense, which were slightly higher for the quarter. But I think a $35 million quarter run rate on those casualties looks fine on a go forward basis, if that's -- but if you're talking about materials and other, that -- if you look at backwards on that, you'll -- if you take an average over 1 year or 2, and about $100 million is about what the quarterly run rate is on that, $100 million, $102 million, something of that nature is what we guided to in the past on those kinds of line items.
Jeffrey Asher Kauffman - The Buckingham Research Group Incorporated: Okay. And then a tax rate question. You mentioned the $8 million related to the change in the North Carolina rates, but it seems like the tax rate guidance going forward is about 100 basis points below what we were thinking 37% going to 36%. Should we think of 36% as kind of the tax rate that we should use going forward? Or is there a reason that would be a different number?
John P. Rathbone: I think it will rebate [ph] back to a more normalized rate because this year, we did have those unique items. And you'll remember that beginning of the year, we did have some tax benefits from the research and development credits that came in, and then you have the short line credits that will likely expire.
Jeffrey Asher Kauffman - The Buckingham Research Group Incorporated: So when we say normalize, are we thinking 37% to 38%, or more 36.5%...
John P. Rathbone: Yes.
Operator: Our next question comes from the line of David Vernon with Bernstein Research.
David Vernon - Sanford C. Bernstein & Co., LLC., Research Division: Don, with the export coal rates through Lamberts to met, are you seeing continued pressure on that due to the changes in the market? Or is that rate sort of holding firm as we kind of move through the quarter?
Donald W. Seale: Sequentially, second quarter to third quarter stable. We still see year-over-year compression that we've talked about in the past. It's not the same market as it was in 2011 or even early 2012.
David Vernon - Sanford C. Bernstein & Co., LLC., Research Division: But holding -- but sort of holding in?
Donald W. Seale: Holding in is a good way to put it.
David Vernon - Sanford C. Bernstein & Co., LLC., Research Division: That is great. And then just as a second follow-up question, is it like, I think, the second year now where we haven't had many utility contracts coming up? And I guess I wanted to get an understanding, what's the average duration on the utility customers that you guys have as far as their contract terms?
Donald W. Seale: They range from 3 to 5 years, but I will tell you our larger utilities are 5 years.
David Vernon - Sanford C. Bernstein & Co., LLC., Research Division: Larger utilities are 5 years?
Donald W. Seale: Right.
David Vernon - Sanford C. Bernstein & Co., LLC., Research Division: Okay. So does that imply that we'll see a pickup in the rate of renewals coming up next year or...
Donald W. Seale: Not in 2014.
David Vernon - Sanford C. Bernstein & Co., LLC., Research Division: Not in 2014?
Donald W. Seale: No.
Operator: Our next question comes from the line of Keith Schoonmaker with Morningstar.
Keith Schoonmaker - Morningstar Inc., Research Division: Yes. Would you please share the proportion of coal volume as hauled from each geographic region like you did in the last call?
Donald W. Seale: Yes. If we -- Illinois Basin is growing at the fastest pace, it, in the quarter, was 16% of our tonnage, PRB is still around 18% of our tonnage, Central App is still about 38%, and Northern App is the balance.
Keith Schoonmaker - Morningstar Inc., Research Division: And one other question, a mix question. Can you comment on how changes in mix over the past few years are affecting the ratio of loaded to total miles? It seems like it's been pretty flat in the last 3 years. But would you expect a mix that is leaner in coal and richer in intermodal to perhaps present opportunities to increase this ratio?
Donald W. Seale: Well, as we transport more crude oil and more ethanol and that type of product that moves in a private tank car, as you know, all of those movements are 100% empty returned. We price that accordingly. Because it's a private asset, to return that car set back to the origin. So when you look at loaded to empty miles in our network, you will have to take into account the growth of that type of traffic over time.
Keith Schoonmaker - Morningstar Inc., Research Division: Okay. So some of those tank car moves are dominating the increase in Intermodal in this ratio?
Donald W. Seale: Well, the empty to loaded miles as a total. Now if you look at Intermodal and drill just into that segment, obviously, we monitor that very closely, and generally, our loaded-to-empty mile ratio is improving.
Operator: Our next question comes from the line of Tyler Brown with Raymond James.
Patrick Tyler Brown - Raymond James & Associates, Inc., Research Division: Mark, I may have missed it, but can you give us an update of where you are exactly on the Movement Planner rollout specifically? And has that technology been a driver of the productivity improvements recently? Or is that more of something we'd see in '14, '15?
Mark D. Manion: Movement Planner has been implemented now on 4 of our 11 divisions, and we are ramping it pretty quickly now. We will get it fully implemented in 2014, optimistically midway through the year, but certainly by the end of the year. And so at this point, we are -- I think we're seeing some of the benefits even though it's pretty early on in the game. We're seeing some of the benefits of Movement Planner. We think we're seeing some of our velocity improvement on account of that technology, but more to come.
Patrick Tyler Brown - Raymond James & Associates, Inc., Research Division: Okay, perfect. And then, Don, jut changing gears real quick, do you, by chance, have the size of the EMP fleet? And do you have any expectations on whether that pool is going to expand or shrink next year?
Donald W. Seale: As Wick indicated, we haven't announced our capital budget. We will be reviewing that with our board in November. The EMP fleet overall is in the range of 30,000 units. We do expect it to expand.
Patrick Tyler Brown - Raymond James & Associates, Inc., Research Division: Okay, perfect. And then just real quick, is there a big difference in ARPU between a private box and a public pool box?
Donald W. Seale: If it's a private box, obviously, that's taken into account where we don't have the asset cost associated with it, so there would be a delta. But I wouldn't say that it's a significant differential in the domestic market. It's more pronounced on the marine containers, which are 40-foot to use versus 53s in the domestic market.
Operator: Thank you. Ladies and gentlemen, we've come to the end of our Q&A session. Mr. Moorman, I'd like to turn the floor back over to you for closing comments.
Charles W. Moorman: Well, thanks, everyone, for the questions and for being with us this morning. And we look forward to talking to you and viewing our fourth quarter results in January. Thanks.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.